Operator:
Daniel Fairclough: Good afternoon, everybody. This is Daniel Fairclough from the ArcelorMittal Investor Relations team. I am joined by Genuino Christino who is our Group Head of Finance and together we like to welcome you to this call to discuss the third quarter 2017 results. This morning, we published our results along side a full presentation with speaker notes and an accompanying Q&A document. So, I hope you have had chance to review these documents and what I hope you take away from those documents is that this is our best third quarter shipment performance since 2008. It's another quarter with EBITDA around the $2 billion level and with net income in excess of $1 billion. Market conditions continue to improve and you can see in our presentation that the PMI reading for the ArcelorMittal weighted PMI is above 55, is the highest reading that we had since 2010. So this supports the positive outlook for the fourth quarter and then into 2018. So with that introduction we are ready to take your question.
Operator: [Operator Instructions] And we will take the first question please from Mike Shillaker at Credit Suisse.
Mike Shillaker: So couple of questions if I may. The first one in Ilva. Can you give us a little bit more color possible on any conversations you have had with the commission? Because -- and can you give us a bit full prices in terms of how you guys internally are reconciling the commission which is clearly gone anti dumping suggesting that they understand this is a global market on one hand, on the other hand opening a phase two investigation suggesting that steel is local market which does seem somewhat contradictory but from the conversations you had internally with them do you think it's a product line issue with Ilva or is something more significant involving the whole consolidation process of the Ilva entity and is the first question. The second question just on graphite electrodes, obviously it has been talking point across the reporting season. Can you give us a sense of how you all fixed on electrodes both for the arc furnaces but also for integrated mills? A, have you supply -- have you secured your supply for 2018? B, could you talk a little bit about your pricing mechanism? This is primarily long term contract that you will be buying on regarding pricing and can you give us a bit color on that. And also within that context can you give us a little sense of the extent cost per ton steel that you expect the increase in electrodes for next year to incur for you. And then finally just on Brazil obviously it has been market there in the past, it has been a great market for you. There has been a lot of data recently suggesting that maybe Brazil has turned the corner. I guess this is sort of stay yet to show through numbers. And but can you give us a little more color in terms of what you are seeing in the Brazilian market would be fantastic.
Daniel Fairclough: Thanks Mike. So I think I'll take the first couple of questions and then hand over to Genuino to update you on the Brazil situation. And so I think first of all talking about Ilva in the news that we received on Wednesday that the commission, European Commission is moving to a phase two investigation. And I am certainly not in a position on the public forum like this to discuss the conversations that we've been having with a case team so far. And I think everybody can read the press release that they made on Wednesday and talk about some of the focus points in that investigation and what they are going to be digging into in more detail during the second phase. And I think you do in your question raised some interesting points regarding the way that the trade investigations have looked at the European market and in fact the global market when it comes to steel and imports and unfair trade. And so far that hasn't been echoed in a way that the investigation or the way that the market has been defined for the commission's investigation of the Ilva deal. Our perspective is that this is a positive deal for all stakeholders. If you look at our market share plus Ilva for hot roll coil and our share of the market is less than 30%. If you look at galvanized products, our share of the market is less than 40%. So from our perspective we are not really moving the needle here in terms of market concentration. What we will be doing is obviously revitalizing a very important steel asset in Europe and we will be making it more competitive and we will be increasing its production which from our perspective is important for all stakeholders. It's important for the employees at Ilva, it's important for the environmental and the surrounding community and ultimately it's going to be very important for the European customer base. Moving to the second question on electrodes; how are we fixed, we’re very well fixed, Mike. So and we’ve got annual contracts for our electrode supply so we’ve got good security into 2018 obviously the price of those electrodes is changing 2018 versus 2017 and that’s been something that we’ve been renegotiating in recent weeks. And so what you can be assured of is that we have security of supply and the second thing that you should be assured of is that we’ll be getting the best available price in the market reflecting the strength of our buying power and scale of our purchases in the market. In terms of the cost per ton impact and I can’t really join those dots for you. I think yourself and a number of your peers have written on this topic in the last couple of months. I think you understand the intensity of electrodes both in the EAF routes and the integrate route so I think you’ve got a good hand on what the potential implication for cost per ton is. Clearly it’s more of an issue for the EAF route than the integrated route so we’re very well positioned given that 80% of our steel is produced through the integrated route. And looking into the near future I think this should continue to be an ongoing support for steel pricing. And I hand over to Genuino for the Brazil question.
Genuino Christino : Thank you, Daniel, so Mike, yes I think it’s clear what I would like to point to you and we start to see the recovery in Brazil also showing our numbers right now if you look at our shipments this quarter is pretty strong. We have been talking about the recovering flat business in Brazil and if you see this quarter year-on-year you see also now some recovery also in our long business. But we need to be little bit careful there because construction will continue to be down this year in Brazil but most likely we have seen the worst, I think our best case is for is second half in construction that will be relatively stable to first half but in a positive momentum hopefully going to 2018. We all know the growth is accelerating [Indiscernible], Q4 should be good and the forecast is that we see for 2018 also looking good. So that’s Brazil.
Daniel Fairclough : Thanks very much Mike so we’ll move to the next question please from Alain at Morgan Stanley.
Alain Gabriel : Thanks good afternoon gentlemen. Two questions from my side if I may, firstly on your working capital items for the year, you clearly lifted your working capital guidance and if you look at the prices of the raw materials that fairly come down, should we interpret the increased working capital guidance as an upgrade for your outlook or both shipments and volumes versus what you thought was going to be vacate in Q2? And the second question is the U.S. appears to be the only region that’s out of sync in terms of margins across your portfolio. Now that we’re half way through Q4 how should we think about going at the Q4 and Q1 next year? Should we expect the price cost differential to reverse? Thank you.
Genuino Christino : So let me take the first question on the working capital. I think we have been clear that our guidance is really based on prices that we see at the time we’re preparing our release. And then if you see here releasing quarter two results at the end of July since then we have seen prices, - prices, steel prices rising, so as we all know prices in July they were relatively soft and then since then we have seen prices recovering and it’s also clear if you look at our shipments now so clearly we’re going to be at the top, in most regions we’re going to be at the top of our apparent steel construction forecast. So, it's really a function of the evolution of prices and I would say also I'll confidence in achieve better shipments also higher.
Daniel Fairclough : Thanks, Alain, so, I'll just take the question on outlook for the NAFTA business in Q4. I think if you look at our steel business as a whole and the momentum is positive heading into the fourth quarter and with the exception of the U.S. So, you’ve seen rising spread environment over the past three months and that will be a support for our business in Europe. It will be a support for our business in Brazil and it will be a support for our business in ACIS Q4 versus Q3. And the exception to that trend have been the U.S. where you’ve seen actually a little bit of price deterioration in the U.S. markets towards the end of September, and overall pricing is a lot more stable Q4 versus Q3 then the other segments. On top of that you’ve obviously got the normal seasonal effects in NAFTA where you’ve got the two holidays; we’ve got the upcoming Thanksgiving Holiday and then Christmas which normally means that NAFTA volumes in Q4 are a shade below the Q3 levels. So, those two factors combined should be something that you are factoring in to your Q4 estimates.
Daniel Fairclough : Great, thanks Alain. So, we'll move to the next question from Ioannis at RBC.
Ioannis Masvoulas: Thanks very much and good afternoon. Two questions from my side, first on the guidance. You guided to H2 shipments at or above the H1 levels. Looking forward, should we expect Q1 ’18 shipments to be up sequentially in line with typical seasonality? And then secondly on China, you flagged earlier this year some downside risk to Chinese steel spreads but they have actually been very resilient north of $200 per ton and above your indicated range of 130 to 170. How do you see this developing in the next three to four months especially in the back of that winter production curve that China is targeting? Thank you.
Genuino Christino : So, I'm going to take the first one Ioannis. I think we're not going to be really getting to 2018 guidance that is to talk about it in as we release our Q4 numbers. So you will have to wait a little bit for 2018.
Daniel Fairclough : And just on the China question. I think we are seeing signs of progress in China, that's clear, we can see the evidence of that in the reduced export levels. So domestic activity is being better and than anybody had really anticipated early in the year. And so there are signs of progress; capacities you identified has been removed again probably more than people anticipated earlier in the year. But I think we still need to be watchful and that any moderation in demand is much by further capacity reduction. So that is improved market situation, now you talk about these spread levels which are above the sort of historical range and but any reduction in demand would need to be met by further capacity reductions for that to be sustained. But it is important that we sustain in China high levels of spread in order for the government to achieve its objective reducing the leverage that these heavy industries currently have.
Ioannis Masvoulas: That's great. And maybe just a quick follow-up on China. You flag that for most regions you are toward the top end of your demand and growth range. Any indications on machinery and construction growth in 2017?
Daniel Fairclough : Yes so, I think those are being the two strongest areas of the market, so you have seen strong growth in auto, you’ve strong growth in machinery because actually construction was strong in the first half but it's a little bit weaker in the second half and so for the full year construction is not significantly up relative to 2016. So the real engine driving the higher overall demand 2017 versus 2016 is those two important segments have autos and machinery.
Daniel Fairclough : Thanks so much. So we move to the next question from Seth at Jefferies.
Seth Rosenfeld : Good afternoon and thanks for taking my questions. I have a couple of questions on your NAFTA business please. In the third quarter your margins came in quite a bit below our own forecast I think that of consensus as well. Can you perhaps give us a better understanding from the headwinds that weighed on your Q3, realized margins and also confirm the contribution of Calvert? And second, going into Q4, you’ve flagged the seasonal headwind on the demand side, but what should we expect in terms of production? I understand that you’ve perhaps two blast furnace outages, both at Burns Harbor and Indiana Harbor, what impact would they have on volumes or cost? And then last, on price you did flag earlier that the U.S. steel price have lagged other regions year-to-date, why do you think that is? And are there reasons to believe that could inflect in 2018? Thank you.
Genuino Christino : So, let me take the first question on NAFTA, so, NAFTA it’s really a function of, I mean as Daniel has already said, I mean, U.S. prices lag international price, and then when you look also [Indiscernible] our realize price, when you take into account the lag, you see that our prices they’re lower. And then on top of that, you have of higher cost – it’s simply because in U.S. the timing is a little bit different, so, as you know -- for instance certain contracts, they really kicked in at the beginning of the year, this is true for coal. As you also know, during the first quarter, the delivery of iron ore doesn’t happen because of the lakes freezing. So, there is a little of a delay in getting all the cost in the system. So, that’s why you see this cost increase in NAFTA in quarter three.
Daniel Fairclough : And in terms of your concern on outages in Q4, I’m not sure where you got that information from Seth but I can confirm that is planned down time that we’re having in the fourth quarter. And in terms of your Calvert question as well, I think, we’d sort of preempted that you might have some questions around Calvert performance and what I can tell you is that, it was actually very, very strong in the third quarter. And we had two months worth of record production and the hot strip mill was consistently operating at utilization rates in the high 90s percent level. So, you shouldn’t have any concern that about Calvert’s performance, the hot strip mill is running very, very well. And then just finally your question on pricing, it’s obviously not something that I can talk specifically about, but I think it’s interesting what we observe during Q3, which was a rising global spread environment, but you weren’t seeing that in the U.S. markets. So, you did have some weakness in scrap and typically what happens in a weaker scrap environment you do see the buyers of steel kind of sit on their hands, they adopt wait and see approach to see what pricing can settle, before starting to place orders. So, you’ve seen U.S. pricing drift in contrast of rising global environment, so, now you see U.S. pricing sort of out of guilt with that global price dynamic. How long back in last, not something that I could suggest on the call, but it’s interesting to see that today U.S. pricing does look out of line with those global trends that we’ve observed over the past couple of months.
Seth Rosenfeld : Thank you. Just one follow up on that last point then, you -- on the price hike, can you commented all about the reception amongst your customers to I think $40 price hike?
Genuino Christino : Thanks. All I can just point to is, if you look at the latest CIU print, it does show about, last week the price was above at the level out, it was a couple of weeks a ago, so, that would be an indication to you that as the price increase had some traction in the market.
Daniel Fairclough : Great, thanks. We’ll take the next question please from Luc, at Exane.
Q – Luc Pez: Hi guys, thanks for taking my call. Two questions if I may, first of all on the NAFTA contribution in Q3, could you be a bit more specific as you, what was the contribution of Calvert, and – there was any specific there? That would be my first question. And second question, looking at to sales in 2018, would it be possible for you to frame a bit the cash needs for your business looking at ex working capital requirement including Ilva? And what would be your best guess, when it comes to working capital requirement next year? Thank you.
Daniel Fairclough : Let Genuino come back to the question on the Come back to the question on the on cohorts, but looking ahead to 2018 the cash needs at the business, obviously in our Q&A document we did reference about CapEx next year will be going up, and we announce the at a very important project in Mexico last month, and so that is something that will be leading to higher CapEx requirement in 2018. In addition, hope we will be starting our CapEx at over as well, so that’s the two clear examples of requirements for higher CapEx 2018 versus 2017, the other cash needs at the business profile I think that will be quite consistent and so in aggregate if you look at interest tax, and the other cash needs for the business, they should be quite stable year-on-year, for example lower interest, and hope we higher taxes, and in so that hope you gives idea on the cash needs at the business and that obviously excludes working capital and that’s really something I think fit for you to determine and in a stable environment then there is going to be a new first or further investing working capital and if you believe that the fundamental can improve 2018 versus 2017 then there could be a further investment in working capital and but that’s something obviously will be up to give more clarity on with the full year result in February.
Genuino Christino: -- [Technical difficulty] About units, what I would just see is that Daniel already said that we are quite please with performance of Calvert in quarter three, we actually had two months of records in our hot strip mill, so its progressing well we were running up to the high of utilization but is not much more to say about cohort right now?
Daniel Fairclough : Okay thanks, Luc. I think we will move to the next question from --
Unidentified Analyst : Yes I guys, thanks for taking my questions. Can you talk a little bit about how you assist the residual risk for your working capital guidance I think it went up two times this year already and if this revision still meaning you are on track to have investment great metrics by the end of the year which was your previous expectation and can you share with us how -- is defining those investment grade metrics, in terms of your working capital release can you get a more specific how where this is coming from, is this more less this rollover of –iron ore prices get lower prices on that side, or is it incrementally better volumes you might anticipate for the full quarter, and can you sorry to ask again on Calvert, so its sound very good if I remember what -- was saying on its call apparently had issues in U.S. because of the total rolling agreement with you guys so was that issue is entirely effective only on Outokumpu side and not disturbing your own performance, and maybe finally on mining I think your reference to some issues you had in the Ukraine, and anything which is offering a catch-up effect in the first quarter because otherwise your guidance looks a bit higher, requiring a further increase in your ship which is normally unusual based on seasonality?
Daniel Fairclough : Thanks, I will take that Calvert question first of all because, I think here I am it’s not appropriate for us to talk directly to the comments and that -- on that call at last month, I think the important message but I have you is what we just said in the past couple of question which is the performance Calvert in Q3 was very strong and there were no issues at the hot strip mill and it perform very, very well we have two months of production records and for the third quarter is a whole and the rolling move was operating at a high 90 utilizations rates so hopefully that addresses that issue. And I’ll let Genuino now talk about the working capital and the impact of that could have enough to investment grade metrics.
Genuino Christino : Right. Okay so in terms of the working capital I think when you look at what we have deployed this year so far $3.5 billion most of it almost entire really a price function, this function of price is higher steel selling prices and higher raw material prices since end of last year. There’s only a very minor increase in metal stock which is a function of strong market environment that we have been enjoying so far so we’re not really concerned about that. Looking to Q4 in our guidance so that our guidance basically implies we did about $1.5 billion and that’s really a function then of volumes, not so much prices, price as I said it’s really based on what we see today so we’re not forecasting what will happen in terms of prices at the end of the year. but as you know in the last few weeks of the year they’re generally weaker if when you compare with September so you can expect that the last few weeks of December we will be shipping less, as a result so the working capital needs to come down, at same time as we typically do the results is part of this is an average in our working capital, metal stock will also come down a little bit so it’s really a function, primarily a function of volume for year end. And what it does to our investment grade metrics. I think we should not disconnect the working capital with the higher profitability as you can see our EBITDA is also growing well in the right direction, cash needs under control so we’re going to be leveraging further this year, so all pointing to the right direction I don’t believe that we gave guidance in terms of timing to achieve investment grade metrics. So this will come naturally as we continue to focus on the leveraging.
Daniel Fairclough : Thanks Genuino, so I’ll just take another question on mining shipments. We did obviously have a good quarter actually for the third quarter in terms of our mining shipments, overall they were up 8% year-on-year but our market price shipments which are obviously what we guide to and that was up 12% year-on-year and for the nine months as a whole we’re running 7% year-on-year. So there was some unplanned maintenance and impacts during Q3 both in Canada and Ukraine. I think those are largely resolved and so we should see a better shipment performance in the fourth quarter and obviously that will help push us on towards that guidance that we gave at the start of the year for a 10% increase in market price shipments which is still our guidance.
Unidentified Analyst : Okay very good. Maybe Daniel one word on the Mexican capital I think you mentioned that this is clearly one driver to increase CapEx. Can you disclose us a rough split how the $1 billion breakout into the years ahead is that possible?
Daniel Fairclough : Yeah that’s an important project for us and so just to give everybody some perspective and obviously this is a great opportunity for us to go downstream into value added products, capitalize on the strength of our primary business and our low class --production in Mexico, take advantage of what is a high growth market heavily dependent on imports for value-added steel. And so it is a high return project further benefiting from the investment being in the new special economic zone at Lazaro and the fact that therefore we will be enjoying a 100% rebate on taxes for the first ten years and then 50% rebate for the following five years. In terms of the CapEx I can’t at this stage be too specific on the detail so what I would just encourage you to do is see it as a three year project and just split it equally across those three years and we might be in a position in February to give you more specifics there.
Daniel Fairclough : Great thanks we’ll take the question from Carsten at UBS.
Carsten Reik : Thank you very much. Just two questions one is on Brazil and one is on the tax rate, with regard to Brazil, how much was the performance in Brazil actually impacted from the weaker environment we have seen in the U.S. and impacted from the weaker environment we’ve seen in the U.S. and to your significant – shipments into North America? And second, could you remind in Brazil about the utilization rate of your long steel business, because it look like most of the shipments turn around worth actually in long steels, but I might be wrong here? On the tax rate we’ve seen a very low tax rate in the third quarter of only around 6%, I guess that is not sustainable, can we actually expect that the fourth quarter would see a tax rate of around 15% or more normalized one, or do you expect similar low tax rate in the fourth quarter? Thank you very much.
Genuino Christino : So, Carsten to address the tax rate first, that you’re right, that all tax rate, effective tax rate was low in quarter three. This is really primarily as the result of some different aspects that will be recorded during the quarter, by giving some improved profitability in some countries where we operate we still have, tax loss is not fully recognized, so this is true for Luxembourg, true for Brazil, for Mexico, that’s basically why you see lower referring compacts charge in this quarter. I mean, our guidance is always been and continue to be the – effective rate should be in the range of 15% to 20%. So that guidance remains good also for 2017. But I’d really encourage you, I mean, the way you think about it really is as part of our cash needs, $4.6 billion that we have been guiding, that it includes also the taxes, so that is not much changing also. And – you’re right, our exports, most of our exports are linked to the – prices, or linked to the international price, revolution of the international price. And if you’ll also look on our two months lag, you’ll see that there is a decline in prices quarter-on-quarter when you apply the lag. And there of course impact the profitability of our Brazilian operations this quarter.
Carsten Reik : Do you have any more quantitative number, just think by how much roughly or do I just have to assume some numbers?
Genuino Christino : I mean, you know that we export roughly 6% of our – shipments they’re exported. And then you’ve the international prices so you can do the math.
Carsten Reik : Okay. Utilization rates on the long steel business?
Genuino Christino : Yes, we don’t really talk about utilization rates there. I think they’ve been slightly up this quarter I would say. But I don’t believe they know that we are disclosing our utilization rates of our facilities.
Daniel Fairclough : I’ll move to the next question from Novid, at Cowen.
Q – Novid Rassouli: Thanks for taking my questions. The first one is on NAFTA, the sequential increase in shipments, I just wanted to see if you guys could speak more to the demand in Mexico, maybe relative to the U.S. what you guys are seeing there, then maybe you’re not seeing in the U.S.? And the second question just has to do with your cash cost for the mining segment. It looks that they’ve been kind of rising, I’m not sure if it’s related to – you had mentioned earlier, which one to see if you could give some color to that as well as maybe expectations going forward? Thanks.
Daniel Fairclough : Sure, I’ll address the cash cost and mining, and Genuino come back on Mexico, but, I think you’re right, so there is obviously a cost impact from unplanned maintenance, as it does impact a production and shipments and that will cost absorption. So, you did see a little bit of that effect in Q3 and, but as we were saying in the earlier your question, there was maintenance – maintenance, that’s logically behind is now, so you should see an improved cost performance as well as improved volumes in Q4. Looking forward, obviously our focus really on two things in mining, its product quality and making sure that our operating cost remains very competitive. So product quality, I think we continue to make goods and in terms of cost competitiveness, there is inflation in the system and what we’re working hard to do is the necessary efficiency gains to make sure that we can offset those inflation re-cost pressures so then at the end of the day that number that we consistently talk about over $40 breakeven price that’s delivered 62% in China, and that we stick to that number and that’s exactly what we’re doing.
Genuino Christino : Yes in terms of Mexico I think the economy is doing well. We have seen the pricing consumption also growing. And we should also remember that in Q2 we have some maintenance in some of our facilities in Mexico so as a result we see some higher shipments also this quarter. But we have also seen a pickup in demand in loans, particularly loans in Mexico to some extent think domestic markets but also giving the strength of the International markets for loan products that also open up some opportunities for us to export volumes out of Mexico.
Daniel Fairclough : Great thanks Naved so we’ll move to the next question from Cedar at Bank of America.
Cedar Ekblom : Thanks Daniel. Just one more question from me can you talk about the outlook for the CIS business in the fourth quarter? I asked because if you look at the stock price of Black Sea HRC has come down by about $60 per ton from the peak and the iron ore price has also fallen but not as matches that fall in the steel price. So I'm just wondering if you can talk about how you think margins shape up for that division in the fourth quarter is there may be a mix advantage where you’re not actually seeing your realized pricing falling is matches the Black Sea price? Thanks.
Daniel Fairclough: Yes, thanks Cedar. I think we want to get two specific on the segment by segment guidance and I think I mentioned earlier that the genial trends in our steel business are favorable with the only exception to that being in NAFTA, where things have been a little bit more stable. And so by implication we do see positive trends at Q4 or Q3 into Q4 in our ACIS business so hopefully that gives you the necessary confidence that result of that should improve sequentially.
Cedar Ekblom : Thanks.
Daniel Fairclough : Great so we’ll move to the next question from Phil at KeyBanc.
Phil Gibbs : Thanks very much. Daniel question on the coal contracts for NAFTA next year, should we anticipate some upward cost revisions there next year?
Daniel Fairclough : It’s not something that we can comment on at this stage.
Phil Gibbs : Fair enough. And then on your auto contracts for 2018 in NAFTA would you anticipate those to be spread accretive?
Daniel Fairclough : Thanks, yes, again both these topics are very confidential in nature in terms of those negotiations. So I think our focus on our auto business is just really to continue to develop our product development solution that we’re providing to the auto OEMs and getting appropriately rewarded for the solution that we’re providing.
Phil Gibbs : Okay and then my last question are just on the Mexico investments and with some of the upgrades you’re likely going to make to Lazaro and steel making output maybe improvements to the cash there. Are you planning on long term to renew the slab agreement with CSA or was that something that’s likely going to labs now that it’s been effectively changed then? Thanks.
Daniel Fairclough : Yes, good one to comment on that either. Sorry I didn’t, you asked three questions that are a kind of topics that we’re just not really able to address in this public forum.
Phil Gibbs : Thank you.
Daniel Fairclough : Thank you. So we’ll move to the next question from Christian at SocGen.
Q –Christian Eric: Yes thanks. Just I wanted to go back on CIS just to get a view on where prices are going in each direction in each location but South Africa I think you get some benefits from market protection a few months ago, is that already within your performance there and do you think there is more benefit to come to have seen first quarter and into next year. And also looking at Ukraine and Kazakhstan are you seeing some specific developments which are either some reward or headwind present? Thanks.
Genuino Christino : So, let me address the first part of question, so yes, you are right so we have since always the safe guard in place that should definitely help but market conditions is probably remain relatively weak. As probably one of the few places where we have large operations where PMIs are still below the 50 mark. I think the company has put their release today. They don't disclose the financial results on a quarterly basis so I cannot talk much more than what they already disclosed. So market conditions would difficult but I would point you the safeguards and place as you right we've said. And then another important effect of South Africa is also and we talk about in our second quarter, the rent and then we have seen more recently a depreciation of the rent from 13.2 to from 14.2, there is clearly helpful to South Africa and then we will see how sustainable that is, it should be helpful.
Q – Christian Eric: And on Kazakhstan and Ukraine, I mean is there any specifics of that which you may want to highlighted as far as conditions are concerned?
Genuino Christino : I'm sorry I could not hear your second question. Can you repeat that for me?
Q – Christian Eric: Yes, I was saying on Ukraine and Kazakhstan is there any specific condition out there. I know Kazakhstan was getting more and more open to Ukraine, I mean did you get – are you getting some support from market that was locations?
Genuino Christino : Well what I would say about Kazakhstan is that the entity is very well I think we also have very good productions in Kazakhstan and shipments also rising. So, that's also as sort of that unit is doing very well. So I'm now going to comment exactly on market that we are shipping too. But clearly it's one of our markets. So it's we don't have any issues there. So yes everything should be moving in right direction.
Q – Christian Eric: Thank you.
Daniel Fairclough : Thanks, Christian. So we'll move to the last question from Bastian at Deutsche Bank.
Bastian Synagowitz: Good afternoon, gentlemen. I just have one quick question left then there is following up on NAFTA again on the slightly higher level. I understand you commented earlier in order to driver in the last quarter but if we look at price cost spread in the years the level we see today is at or above the average over the last six quarter’s and given that we have such large timeframe this obviously moving on to a whole little for all material industry price volatility but if we look at the margin in NAFTA, we obviously not far back to below $70 per ton everyday while the average for the period is closer to 90. So starting to sell decrease so could you please clarifies that any other reasons for this discount or is there anything else which we're missing which has been going against you because the price cost spread do not really seem to be the driver looking at to set a longer timeframe? Thank you.
Genuino Christino : No, we just say that there is not any specific to comments other than what we have already discussed. We have seen costs continue to rise this quarter as a result of the some of our contracts, co contracts I don't know other than that there is nothing exceptional to highlight.
Daniel Fairclough: Thanks, Bastian. And so I don't believe there is any more question. So I would like to thank everyone for your interest and as I said start of the call market conditions that continue to improve and this does support a positive outlook for the fourth quarter and into 2018. So we look forward to updating you on our progress in February and the progress that we've made in 2017 together with a more detailed outlook for the year ahead. All the best.